Operator: Good afternoon, and thank you for standing by. Welcome to Stella-Jones' First Quarter of 2024 Earnings Call. At this time, all participants are in listen-only mode. Following the presentation, we will hold a question and answer session. [Operator Instructions] I would like to remind everyone that this conference call is being recorded on Wednesday, May 8th, 2024. Please note that comments made on today's call may contain forward-looking information, and this information, by its nature, is subject to risks and uncertainties. Actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please consult the Company's relevant filings on SEDAR+. These documents are also available in the Investor Relations section of Stella-Jones' website at www.stella-jones.com. We have also prepared a corresponding presentation, which we encourage you to follow along with during this call. I'll now hand the call over to Eric Vachon, President and Chief Executive Officer of Stella-Jones. Eric?
Eric Vachon: Thank you, Matthew. Good afternoon and thank you for joining us today. I'm here with Silvana Travaglini, Senior Vice President and Chief Financial Officer of Stella-Jones. Earlier this morning, we issued a press release reporting our results for the first quarter of 2024. Along with our MD&A, it can be found in the Investor Relations section of our website at www.stella-jones.com, as well as on SEDAR+. As a reminder, all figures expressed on today's call are in Canadian dollars unless otherwise stated. After a highly successful 2023, 2024 has begun on an equally positive note, with higher sales and record first quarter profitability. We are pleased with the solid momentum of our infrastructure product categories, which has continued into 2024. Our results continue to reaffirm our strategic approach of being future-ready. We remain proactive in our pursuit of meeting customer needs, while staying ahead of industry trends and dynamics, anticipating how we'll evolve and being prepared to capitalize on opportunities. We have done this through strategically and diligently building out our network through growth investments and acquisitions, and investing in inventory levels required to meet demand. And we continue to leverage the strategic locations of our operations. We have a largest presence that spans North America and this has allowed us to better cater to customer needs, while serving them effectively, creating synergies and maximizing economies of scale. These initiatives are supported by the strong long-term fundamentals of our business, primarily the steady and growing demand for our products, which I will now discuss in more details. Sales of utility poles were higher year-over-year, driven by favorable pricing. In terms of volume, we noted sequential volume increases compared to Q4 last year, particularly from non-contract customers. For our contract business, which represents 70% of our pole sales, we continue to see a shift whereby certain customers are moving to longer term agreements. We also secured additional multiyear commitments from new and existing contract customers, which is indicative of their commitment and need to secure supply on a longer horizon. Our customers' projects are poised to spend several decades, and there continues to be growing need to maintain the North American electrical grid. There is also sustained momentum from our utility customers to increase pole purchases to support their broadband access and expansion projects. Our goal is to be the supplier of choice and a company our customers can rely on when they proceed with their projects. As always, Stella-Jones manages its business with an eye on the larger picture, making decisions that are best for the company's long-term stability and growth. Sales of railway ties also increased over the same period last year, above the low-single-digit growth target. With the replenished level of tie inventory, we are now better positioned to service the non-Class 1 market. The ability to cater to this market is a significant shift from 2022 when the industry experienced a limited availability of untreated wood ties. Sales for residential lumber pulled back slightly on account of the lower market price of lumber. We remain Canada's largest manufacturer of treated residential lumber, and many customers across North America rely on us for their premium treated lumber, composite decking and accessories. I'll now turn it over to Silvana to provide a more detailed overview of our first quarter financial results.
Silvana Travaglini: Thank you, Eric, and good afternoon, everyone. As Eric indicated, Stella-Jones had a robust start to 2024. We generated strong financial results that helped establish a solid foundation for the rest of the year. Sales for the quarter were $775 million, up $65 million from Q1 of 2023. The increase was driven by higher infrastructure product sales, which grew organically by $58 million or 10%. We benefited from favorable pricing across all our infrastructure product categories, higher railway tie volumes and the contribution of the acquisition of the Baldwin assets. Utility pole sales increased to $402 million, compared to $362 million for the same period in 2023 due to higher pricing when compared to Q1 last year. The slower pace of purchases this quarter largely stemmed from contract customers with long-term volume commitments. Though purchases from customers were deferred and remained lower relative to the first quarter of 2023, we saw a progression in our utility pole volumes over Q4 of last year. Sales of railway ties were $227 million, representing an increase of 16%, compared to the first quarter of 2023. This increase was attributable to both higher pricing and volumes, particularly for non-Class 1 customers due to the available supply of railway ties. And residential lumber sales were $87 million, compared to $90 million during Q1 2023. While volumes remained relatively stable quarter-over-quarter, the decrease in sales was attributable to the lower market price of lumber, compared to the same period last year. Led by the strong organic sales growth for our infrastructure products, EBITDA increased to a record first quarter of $156 million, compared to $120 million in the first quarter of 2023. EBITDA grew to 20.1% from 16.9% in the first quarter of last year. Similarly, net income for the first quarter increased relative to the same period last year. We generated net income of $77 million or $1.36 per share. This compares to $60 million or $1.03 per share in the first quarter of 2023. The increase in profitability was attributable to the margin expansion realized across our infrastructure product categories, particularly due to the favorable pricing dynamics compared to Q1 last year for utility poles and railway ties. We ended the quarter with a net debt-to-EBITDA ratio of 2.7x times, which is within our expectations due to our typical working capital requirements in the first quarter of each year. During the quarter, we continued to invest in our inventory position, particularly for the seasonal build of residential lumber ahead of peak demand in the second and third quarters. Inventory levels are however expected to decrease by year-end and be in line with levels at the beginning of the year. Inventories are a significant component of working capital and an investment in our ability to provide service to our customers and meet their demand. During the quarter, we also used our liquidity to maintain the quality of assets and expand our production capacity, as well as return capital to shareholders. In the first quarter of 2024, we repurchased $15 million of shares and declared a dividend totaling $16 million. As a result of our buyback programs, we had two million fewer average shares outstanding this quarter, compared to last year's Q1. As of the end of March, we had returned over $225 million of capital to shareholders out of the $500 million committed for the 2023 to 2025 period. Yesterday, our Board of Directors approved a quarterly dividend of $0.28 per share, reflecting the continued confidence in the long-term strength of our business. In summary, our financial performance to begin the year has positioned us well to remain on track to continue to achieve profitable growth and return capital to shareholders. With that, I will pass it back to Eric for his concluding remarks.
Eric Vachon: Thank you, Silvana. Our first quarter results helped set the tone for a positive year ahead and our focus in 2024 will remain on the growth trajectory of our infrastructure business. We are well positioned to meet or exceed the objectives laid out in our three year financial plan. We continue to work towards receiving more than $3.6 billion in sales by 2025 and despite the impact of short-term trends, the underlying fundamentals of our business remain rooted in maintenance and replacement requirements, which play out over the longer term horizon. For utility pole product category, we continue to expect sales to grow at a compounded annual growth rate of 15% for 2024 and 2025, largely driven by volumes. Expected volume growth is based on information shared with us by customers in terms of their needs, as well as additional volume commitments recently secured from new and existing customers. As our customers undertake many of their projects during the second and third quarters, we expect these big volume periods for our business to support the expected volume growth. While our railway tie product category had a strong start to begin the year, we are reaffirming our annual sales growth rate in the low-single-digits. A Class 1 customer has recently modified their 2024 maintenance program, which is expected to reduce overall volume gains for the year. And we maintain our projection of sales between $600 million and $650 million for residential lumber, which is expected to comprise less than 20% of our overall sales mix. In terms of profitability, considering the strong performance of our EBITDA margin through 2023 and into the first quarter of 2024, we are currently well positioned to exceed our 16% annual margin target. Potential pricing pressures in the second half of the year for our utility pole spot market business are expected to impact our current level of EBITDA margin. We look to the future with confidence, thanks to the strength, resilience and profitability of our business. And we will continue to put in the work every day to keep reaching further and higher, while creating value for our shareholders. I would like to conclude the call by acknowledging our employees across North America, many of whom are listening today. You are what make Stella-Jones unique. Our customers rely on us for quality products and timely service, and we have the best-in-class reputation because of our team and the care and attention to our work. Thank you for delivering your best every day. With that, I will now open the line to questions.
Operator: Thank you, Eric. [Operator Instructions] Our first question is from James McGarragle from RBC Capital Markets. Please go ahead.
James McGarragle: Congrats on a - congrats on a a great quarter. I just had a question on the pole pricing outlook. You flagged that you expect recent strength to persist early in the year which clearly saw that in Q1 and then that you expect pricing to fall off in the back half. And given some of the I guess, the near-term demand headwinds, do you see any risk to margins? I know you reaffirmed that margin outlook, but if demand is coming a little bit lower due to some of these near-term headwinds, pricing comes on, falls off in the back half, as this new capacity comes on any risk to the margins in Q3 and Q4? Any color you can provide there would be appreciated.
Eric Vachon: So thank you, James. So, I guess I'll start by reaffirming our belief in our 15% CAGR growth for '24 and '25 supported in better part by volume growth. So, to your point, I guess is, just I sort of took away two parts to your question. First, obviously was the pricing; as strong pricing in the first quarter obviously for utility poles, I believe, and I think we stated this before, we believe that this first half of the year, we will still see some uplift coming from pricing. And we still maintain our assumption of pricing pressures in the second half of this year driven or supported or justified by the fact that we're seeing new capacity come online. That being said, the volume piece, as I said, we still have strong confidence because we have strong communications with our customers. We have brought on some new customers this year that were not part of our customer list last year. And so, we feel pretty strong about our 15% growth for the year.
James McGarragle: Okay, thanks. And just switching gears over to the railway ties business. You've highlighted in the past some potential catalysts related to funding from the U.S. infrastructure bill. And you talked about losing that Class 1 customer or that Class 1 customer reducing their volume outlook a little bit. But as we sort of look into 2025, do you have any update on, if we could see an uptick related to the U.S. infrastructure bill? And what type of upside that might represent if that – that those funds start to be – start getting to be spent? Thanks.
Eric Vachon: So, we are seeing subsidies or subsidy programs in the U.S. supported by the U.S. federal government's infrastructure plan. As recently as April 30th, there was a deadline to apply for CRISI grants in the U.S. And that budget was around, I want to say, around US$2.4 billion, which is double of the amount that was there in the previous year. So, I do believe that obviously projects will most likely have been applied for and we would see those funds deployed in the next 12 to 18 months. CRISI grants are - grants that are in place to support rail infrastructure safety and typically, the short line in commercial business would be the targeted market I guess, for those subsidies. So I do feel that there will continue to be strong dynamics in the non-Class 1 business as we go forward into 2025.
James McGarragle: Thank you, and I’ll turn the line over.
Eric Vachon: Thank you.
Operator: Thank you. Our following question is from Benoit Poirier from Desjardins Securities. Please go ahead.
Benoit Poirier: Vachon, good afternoon. Just to come back on the utility, we've seen some several large utilities like American Electric Power and Dominion that are mentioned is seeing an uptick in the future electricity demand for datacenters coming from AI growth wave. So, has there been a point of discussion with customers in the recent months? And much of the tailwind could this opportunity be on top of the infrastructure and EV backdrop for you guys?
Eric Vachon: It's hard to say how much of an impact it would have, but you are correct. It is a topic of conversation that we've been hearing more frequently in the last year, I would say, where energy consumed by datacenters is significantly higher, in particular, I'm assuming you're referring to AI versus your regular internet use. But I think in the end, it's, for our customers, it's part of their consideration for overall requirement for electricity. Many utilities in North America are faced with, I would say, maybe a dual challenge, one is, ensure they have enough generating assets for the next few decades to support demand. And then obviously you need transmission and distribution to be able to support it. So it all fits in the same theme for me. But to your point, Benoit, the datacenter topic is something that has been coming up more frequently, but very hard to quantify that impact.
Benoit Poirier: Okay. And just looking at your EBITDA margin, obviously, above 20% marks a new record level for you. It's up almost 340 BPS versus last year. So, I don't know if you could maybe provide more color or break down the contribution between how much of the increase was driven by utility poles versus railway ties? And how confident are you that the margins could be maybe a little bit stronger than initially expected on the back of the start in Q1?
Eric Vachon: Well, Benoit, you know very well, we don't disclose margin by product category. But obviously, as stated in our MD&A, the better pricing for poles and the better pricing for utility, sorry, for railway ties did contribute to that favorable uplift in EBITDA margin. Where we are also very proud on how our team is managing our cost and leveraging our network to make sure that we compress costs as best we can. But going forward, with my comment earlier that pricing would be still strong in the second quarter. So I would still expect some relatively stronger EBITDA for the second quarter. Now please, I'll remind the listeners that we also usually have a stronger volume for residential lumber in the second quarter. So the mix would obviously make it different, because I guess the mix of residential lumber in the first quarter is obviously lower. But I do believe that our first half of the year will show very strong performance from an EBITDA margin standpoint. And then the second half, we are guiding to softer margins compared to H1, driven by our belief that there will be more competition for utility pole sales.
Benoit Poirier: Okay. That’s great color. And last one for me on the residential lumber side. What are you seeing on the retail side so far in Q2 in your discussion with customers, as we enter the summer peak season?
Eric Vachon: Obviously, it's a Q2 data point, but it seems that we're – our customers are looking for similar volumes year-over-year. Pricing – price of lumber is similar to last year. It ebbs and flows a bit, but in the same range. I don't think pricing would be a big factor necessarily and volumes would be flattish or similar. So thus, our conclusion that it would be in the same range of $600 million to $650 million in sales annually.
Benoit Poirier: Perfect. Thank you very much and congrats.
Eric Vachon: Thank you. My pleasure.
Operator: Thank you. Our following question is from Jonathan Goldman from Scotia Capital. Please go ahead.
Jonathan Goldman: Eric, I appreciate the comments you made on the mix in Q2, but Q2 is typically your strongest EBITDA margin quarter. When will it be logical to assume margins would be up quarter-on-quarter?
Eric Vachon: Quarter-on-quarter? No, I think the mix will make it potentially slightly lower. It will still be a strong EBITDA margin quarter. But it is the peak season for residential lumber. What we sell in April, May and June, the volume-wise significantly outweighs the other three quarters of the year. But you are right that poles and ties are also – have the large presence in the second quarter, but I still think that the mix would have it slightly lower.
Jonathan Goldman: Would that mix be different than historically?
Eric Vachon: Yes.
Jonathan Goldman: The second one, I guess --
Eric Vachon: Hold on. Silvana, do want to add some color?
Silvana Travaglini: Yes. Maybe just add some color, Jonathan, also keep in mind that our poles sales with SYP being a bigger portion of our portfolio. There's a little bit more consistency throughout the year. So we have seen less seasonality, let's call it, currently versus in the past just because of the greater weight that we have with SYP in our portfolio.
Jonathan Goldman: Okay. That’s great color. Thank you. And then I guess the second one would be on pole volume outlook. Eric, you discussed 15% growth in poles business this year. That would be mostly volume, I think you said that I would imply 20% growth in the back nine months of the year. Is that the right way to think about it? And what sort of visibility do you have on growth accelerating to that degree?
Eric Vachon: Yes. So I think your math directionally is correct. And as - well, as I mentioned in my remarks that our capability to assurance or certainty that which we come forward with our 50% growth comes from discussions we have with our key customers, the projects that they have coming in the next quarters and lapping into actually '25 as well as I mentioned, we have some new customers that we're ramping up in the first quarter that are now fully supported by us going forward. So, I do feel pretty good about it. And so those are our pole teams, spend a lot of time looking at our numbers, making sure that we could come today with a level of comfort in stating or reiterating our 15% growth.
Jonathan Goldman: Okay. Perfect. And if I could just squeeze one more in. Do you have a sense on the tie the sales growth, the organic growth, how much of that was volume versus price-driven this quarter?
Eric Vachon: Well, it's about half and half, about 50%, 50%. You're talking for the entire growth, right?
Jonathan Goldman: The organic growth for ties. So I guess, it's all organic.
Eric Vachon: Yes. For ties, 50-50. Yes. 50 volume and 50 on pricing.
Jonathan Goldman: Perfect. Thank you for taking my questions.
Eric Vachon: Thank you.
Operator: Thank you. Our following question is from Michael Tupholme from TD Securities. Please go ahead.
Michael Tupholme: Thank you. Good afternoon. Maybe a similar question to the one you just were asked, Eric. But with respect to the poles product category, if you can provide a breakdown of the 7% year-over-year organic growth you saw in the quarter, how much of that was volumes versus price?
Eric Vachon: Thank you, Michael. So, as we explain actually in February in the Q4 call, so our Q4 '23 volumes were down 5% year-over-year. And at that point, we did take the opportunity to say that we would see a similar trend in the first quarter of this year. And that is exactly what we've observed. So, no surprises there.
Michael Tupholme: Okay. And then, what are you seeing through the first part of the second quarter, as far as perhaps the month of April in terms of what you saw in the volumes year-over-year for poles?
Eric Vachon: So, Michael, those are – that's really a Q2 question. So, what really I want to reiterate is that, we have confidence in our 15% growth for the year. And obviously it's a – as I mentioned in my comments, it's really a long-term view on things. So I really even would say 15% CAGR over '24 and '25 as we know that a lot of projects from our customers, although there's been a bit of deferral in Q4 and Q1 into the coming quarters. It's a bit of a – it is not a bit, it is a long-term initiatives for all our customers, but still feel comfortable with our 15% CAGR.
Michael Tupholme: Okay. That's fair. And absolutely took your point that you reiterated the 15% CAGR. And I think you were just talking with the prior analyst about what's implied for the remaining nine months to get you there. I guess, maybe I'll ask the question a little bit differently. I guess, the question is really then how do we think about the cadence here as we move through the year, just to ensure we're not being too aggressive as we think about Q2 for the poles business in terms of organic growth? Like how does this ramp as you make your way to that 15% organic growth for the year?
Eric Vachon: Yes. So, as I mentioned, we've seen better volumes in Q1 this year, and Q4 next year and it's going to keep growing. And I will reiterate that Q2 and Q3 would be our strongest volume quarters. So, I guess you could expect us to have a jump, I guess into volume in the second and third quarters simply because it is the maintenance season in North America, granted that in the South U.S., as Silvana explained, SYP is a year-round activity. Canada and the northern part of the U.S., April to October are the months where installation and maintenance, a lot of it gets done.
Michael Tupholme: Okay. Fair enough. And then, maybe just one other one. You’d previously talked about the prospect to the potential for some pricing pressure. I think you reiterated that risk or potential here on this call as far as the poles business and pricing pressure, particularly in the second half. I think previously you talked about those pressures potentially materializing in the spot portion of the poles market. Can you just talk about where do you see potential pricing pressures now? Is it still very much in the spot market or do you see anything going on in the contract market? If you can just talk about that, it would be helpful.
Eric Vachon: So, our view is that it would be entirely in the spot market. Our contract pricing is set and has mechanism for adjustments that are based on the different cost drivers. So, market trends have much less or no influence at all. So it's entirely into the spot markets. Can't say that it's something that we necessarily seen or measured. But as I explained, with the additional capacity in the market and us securing a lot of the long-term contracts in the North American market, I feel that a lot of our competitors to move their products will have to take a second look at their pricing. But obviously, that's an assumption that Stella-Jones is taking, and that's how we've sort of laid out our expectations for our margins for the second half of the year.
Michael Tupholme: But at this point, you're not yet seeing it in the spot market. This is more of a potential risk still?
Eric Vachon: Still a potential risk, yes.
Michael Tupholme: Got it. Okay. Thank you. I’ll leave it there.
Eric Vachon: Thank you, Mike.
Operator: Thank you. Our following question is from Maxim Sytchev from National Bank Financial. Please go ahead.
Maxim Sytchev: Hi, good afternoon.
Eric Vachon: Hello Maxim.
Maxim Sytchev: Maybe the first question for Silvana, if I may. So when you talk about normalization of working capital kind of intensity. So, when in 2023, there was a drop $345 million on non-cash working capital, do you mind maybe providing some thoughts around where 2024 might land? Like will we be able to unwind kind of the vast majority of that or how should we think about this? Thanks.
Silvana Travaglini: So our expectation for this year, for 2024 is that, the inventory level at the end of 2024 will be at a similar level as in 20 – at the end of 2023. So, it will remain at those higher levels. A part of it is the need to have this higher inventory level to service additional volumes that we are projecting into 2025, particularly for utility poles, but also for railway ties.
Maxim Sytchev: Okay. And then, I guess, -- I mean, I know that 2025 is a bit far. But I'm just trying to think about sort of a normalized perhaps EBITDA to kind of free cash flow conversion. Maybe if you have any thoughts there, how we should be approaching this?
Silvana Travaglini: In terms of, I guess, maybe two data points that might be useful. The first one is that, our expectation is that our inventory build is always about 40% of additional revenue. So for every additional $1 of revenue, there's about a $0.40 of inventory build typically that is seen throughout the company. And in terms of free cash flow conversion on a normalized basis, I would say probably 50% to 60% would be – probably closer to 50% would be more of a normalized level.
Maxim Sytchev: Okay. That's useful. Thank you so much, Silvana for that. And Eric, I know obviously, we're kind of beating the dead horse around pricing dynamic. But how quickly do you think that can clear? Do you think that’s really just a back half of 2024 event? And then, there's sort of like a reset in 2025? Or do you think it can have a bit of a longer tail? Like what are your thoughts from that perspective? Thanks.
Eric Vachon: So, I mean, it's a good point. Obviously, it's an assumption, is it going to happen in Q3 or starting in Q4 and lap into early next year? I think it's sort of like we will have – the presence of this pressure will – once it starts, it'll be there for a couple of quarters. The longer it takes, I would think the better off we are as I think demand will normalize again because I think it's short-lived. We're still expecting to see interest rate drops, maybe not this year at this point. I don't know, later in the year or early next year. But I do think that as soon as we see interest rate moves, we will see more projects come forward in North America and that will most likely help absorbs our net excess capacity.
Maxim Sytchev: Makes a lot of sense. Okay. That’s great. Thank you so much. That’s it for me.
Eric Vachon: Thank you, Maxim.
Operator: We have no further questions in the queue. Thank you.
Eric Vachon: Well, thank you, everyone, for joining us today. I look forward to talk to you again next quarter.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for participating. You may now disconnect your lines.